Operator: Good morning. And welcome to State Street Corporation’s Second Quarter 2021 Earnings Conference Call and Webcast. Today’s discussion is being broadcasted live on State Street’s website at investors.statestreet.com. This conference call is also being recorded for replay. State Street’s conference call is copyrighted and all rights are reserved. This call may not be recorded for rebroadcast or distribution in whole or in part without the expressed written authorization from State Street Corporation. The only authorized broadcast of this call will be housed on the State Street website. Now, I’d like to introduce Ilene Fiszel Bieler, Global Head of Investor Relations at State Street.
Ilene Fiszel Bieler: Good morning and thank you all for joining us. On our call today, our CEO, Ron O'Hanley, will speak first. Then Eric Aboaf, our CFO, will take you through our second quarter 2021 earnings slide presentation, which is available for download in the Investor Relations section of our website, investors.statestreet.com. Afterwards, we will be happy to take questions. During the Q&A, please limit yourself to two questions and then re-queue. Before we get started, I would like to remind you that today’s presentation will include results presented on a basis that excludes or adjusts one or more items from GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP or regulatory measures are available in the appendix to our slide presentation. In addition, today’s presentation will contain forward-looking statements. Actual results may differ materially from those statements due to a variety of important factors, such as those factors referenced in our discussion today and in our SEC filings, including the risk factors in our Form 10-K. Our forward-looking statements speak only as today and we disclaim any obligation to update them even if our views change. Now, let me turn it over to Ron.
Ron O'Hanley: Thank you, Ilene, and good morning, everyone. Earlier this morning, we released strong second quarter financial results, which demonstrate the meaningful progress we are making towards achieving our medium-term targets as we continue to execute on the multiyear strategic pivot of our business to that of an enterprise outsourced solutions provider. I am particularly pleased with our results, as quarterly total fee revenue exceeded $2.5 billion for the first time in the company’s history. We delivered a fourth consecutive quarter of servicing fee growth, with servicing fees at the highest level in three years, propelled by both strong equity markets and the impact of our actions to strengthen relationship management and sales effectiveness. We continue to differentiate State Street through our unique product and operational capabilities, as well as through delivering enhanced client service quality. Our pipeline continues to deliver as evidenced by another strong -- another quarter of strong servicing and Alpha client mandates, which I will discuss shortly. Additionally, we continue to invest in our business and innovate across the franchise to drive growth and enduring shareholder value creation. For example, we announced the formation of State Street Digital in the second quarter, a new division focused on addressing the industry’s evolving shift to digital finance, both as product offerings and as a business model. This is just one example in a long history of innovation that State Street has and is continuing to drive within our industry. We also continue to develop State Street Alpha, our front to back offering. This unique capability has created an attractive value proposition that is resonating with both new and existing clients, as well as contributing to client retention and growth opportunities, which I will also discuss shortly. Turning to slide three, I will review our second quarter highlights before handing the call over to Eric, who will take you through the quarter in more detail. Second quarter EPS was $2.07 or $1.97 excluding notable items. Despite the impact of our -- of interest rates on our NII earnings per share ex notables reached the highest level since 4 Q 2019 when quarterly NII was notably higher more than 35% more than it was into Q2 2021. Relative to the year ago period, quarterly total fee revenue exceeded $2.5 billion for the first time, increasing 6% year-over-year, driven by solid servicing and management fee growth, which increased 10% and 14% year-over-year, respectively, as well as better securities finance results. The strong performance was partially offset by the year-over-year impact on total revenues from lower software and processing fees, continued moderation of FX market volatility and ongoing interest rate headwinds. Even with record quarterly fee revenue, expenses were well controlled. While second quarter total expenses were up 1% relative to the year ago period, they were down almost 0.5 percentage point year-over-year, excluding notable items and currency translation, as our productivity improvements continued to yield results. We have created a culture of expense discipline over the last two and a half years, and we remain confident in our ability to effectively manage core operating costs over the remainder of 2021. Our strong fee revenue performance, coupled with continued cost discipline, delivered a 200-basis-point improvement to our pretax margin year-over-year, which reached nearly 30% in the second quarter, excluding notable items. Further return on equity was 12.6% or 11.9% excluding notable items in the second quarter. AUC/A increased to a record $42.6 trillion at quarter end, supported by higher period end equity market levels and new business onboarding. New asset servicing wins increased to $1.2 trillion for the quarter, including the large Alpha mandate with Invesco announced in April. We reported two new Alpha wins in the second quarter, taking the total number of Alpha clients to 15. After the second quarter close, we also entered into an Alpha mandate with Legal & General. Well Invesco is an example of how Alpha is helping to expand and deepen existing client relationships, the Legal & General win demonstrates how the Alpha strategy is also helping us forge new client relationships with the world’s most sophisticated investors. Our experience to-date gives us confidence that Alpha relationships will drive stronger retention rates for existing clients, while also allowing us to broaden and deepen those relationships as we add additional products and services to these existing mandates. Additionally, we are signing Alpha clients that are new to State Street, demonstrating that Alpha is enabling us to reach new clients and deliver front, middle and back office services in a differentiated manner. We also create the new relationships to help drive revenue growth of costs across clients segments and regions. For example, earlier this week we announced the new strategic alliance with First Abu Dhabi Bank. The alliance will create a full service enterprise offering for institutional investors in the Middle East and North Africa region. It will provide investors with extensive reach into more than 100 markets around the world. Clients will have access to State Street’s full suite of front, middle and back office capabilities in addition to our extensive data management and analytics solutions, which seamlessly integrates with First Abu Dhabi Bank’s regional suite of security services products, local expertise and regional direct custody network. At CRD, annual recurring revenue increased 11% year-over-year to $230 million and we remain pleased with how the business is performing, while also enabling and propelling our Alpha strategy. Global Advisors continued to demonstrate strong performance, AUM increased to $3.9 trillion and management fees increased to $504 million, both records benefiting from strong second quarter flows of $83 billion across the ETF, institutional and cash businesses, as we continue to leverage the strengths of our asset management franchise. In ETFs, our low cost and sector funds, as well as our ESG and commodity products continuing to enjoy good market share with low cost ETFs expanding share in the second quarter. And an institutional, our sales force and relationship management realignment, coupled with a strong products that lead to good revenue growth. Turnings to our balance sheet and capital, we returned over $600 million of capital to our shareholders during the second quarter, inclusive of $425 million of common share repurchases consistent with the limits set by the Federal Reserve. I am pleased with yet another strong performance under this year’s annual stress test. The new SCB framework provides us with additional flexibility to manage our capital pace. As examples, yesterday we announced that our Board of Directors has approved a 10% increase of our third quarter common dividend to $0.57 per share and authorized a common share repurchase program of up to $3 billion during the third quarter of 2021 through the fourth quarter of 2022. To conclude, we had a very strong quarter, business momentum is building and we have demonstrating meaningful progress towards our medium-term financial targets. As I look ahead to support our strategic vision and help us achieve those targets, we are continuing to prioritize improvement in our fee revenue growth, while controlling costs by transforming the way we work and building a higher performing organization for the future. And with that, let me turn it over to Eric to take you through the quarter in more detail.
Eric Aboaf: Thank you, Ron, and good morning, everyone. I will begin my review of our second quarter results on slide four. We reported EPS of $2.07 or $1.97, excluding the $0.10 positive impacts of notable items, which was driven by a previously announced sale of majority stake in a legacy business. On a left panel of the slide, you can see strong results as we continue to drive fee revenue growth while controlling expenses. We delivered pretax margin expansion and solid earnings growth. As a result of the weaker dollar relative to the year ago period, we continue to show our year-on-year results excluding the impact of currency translation in the right column. We also show results excluding notable items on the bottom of the slide. Turning to slide five, you will see our business volume growth, period end AUC/A increased 27% year-on-year and 6% quarter-on-quarter to a record $42.6 trillion. Both the year-on-year and quarter-on-quarter increases were largely driven by higher period end market levels, net new business growth and client flows. At Global Advisors, AUM increased 28% year-on-year and 9% quarter-on-quarter to $3.9 trillion, also a record. The year-on-year and quarter-on-quarter increases were both primarily driven by higher period end market levels coupled with net inflows. Turning to slide six, you can see another quarter of strong business momentum. Second quarter servicing fees increased 10% year-on-year, including currency translation, which was worth approximately 3 percentage points year-on-year. The increase reflects higher average market levels, positive net new business onboarded and client flows, only partially offset by normal pricing headwinds and the absence of elevated prior year client activity. AUC/A wins totaled $1.2 trillion in the second quarter substantial -- substantially up from recent quarters, primarily as a result of the large Alpha client mandate announced last April that John just -- that Ron just mentioned. AUC/A won but yet to be installed also amounted to $1.2 trillion at quarter end, as we smoothly on boarded over $400 billion of client assets this past quarter. We remain focused on reigniting business growth across both client segments and regions. This quarter, we have strong growth in the EMEA region, aided by our intense coverage efforts, which now extend to approximately 350 overall of our top clients. We continue to estimate that we need at least $1.5 trillion in growth AUC/A wins annually in order to offset typical client attrition and normal pricing headwinds, and we have clearly exceeded that mark this year. I will remind you that installations typically occur in phases and overtime and deals will vary by fee and product mix. At this time, we expect the current won but yet to be installed AUC/A will be converted over the coming 12-month to 24-month time period with the associated revenue benefits beginning in 2022 and the majority occurring in 2023. As we said in June, we are pleased with our pipeline and our momentum. Turning to slide seven. Second quarter management fees reached a record $504 million, up 14% year-on-year inclusive a 2-percentage-point impact from currency translation and were up 2% quarter-on-quarter resulting in investment management pretax margin approaching 35%. Both the year-on-year and quarter-on-quarter management fee performance benefited from higher average equity market levels and strong ETF flows. These benefits were only partially offset by the run rate impact from the previously reported idiosyncratic institutional client asset reallocation, as well as about $25 million of money market fee waivers this quarter. While we previously estimated that money market fee waivers on our management fees could be approximately $35 million per quarter. As a result of the recent improvement in short end rates following the June FOMC meeting, we now expect that they will be about $20 million to $25 million per quarter for the rest of the year, which is about a third lower than we had previously expected. Global Advisors record solid flows across institutional, ETFs and cash for the quarter, with took -- the total amount amounting to $83 billion. We have taken a number of actions to deliver growth in our long-term institutional and ETF franchises, which are driving this momentum as you can see on the bottom right of the slide. Turning to slide eight, let me discuss the other important fee revenue lines in more detail. Within FX trading services, we are pleased that we continue to generate strong client volumes, which remain above pre-pandemic levels in the second quarter. Relative to a strong second quarter in 2020, FX revenue fell 12% year-on-year as declining FX market volatility compared to the COVID environment last year, more than offset higher client volumes. FX revenue was down 17% quarter-on-quarter to invite moderation of client volumes from index rebalances experienced in the first quarter and lower market volatility. Our securities finance business recorded strong revenue growth, with fees increasing 18% year-on-year and 10% quarter-on-quarter, mainly as a result of higher enhance custody and agency balances as clients leverage rebounded. Finally, second quarter software and processing fees were down 12% year-on-year, largely due to the absence of prior year positive mark-to-market adjustments. Software and processing fees increased 24% quarter-on-quarter, mainly as a result of higher CRD revenues. Moving to slide nine, I’d like to provide some further updates on our CR D and Alpha performance. We delivered strong standalone CRD results in the quarter, primarily reflecting higher client renewals and episodic fee revenues. The more durable SaaS and professional services revenues continue to grow nicely and were up 10% year-on-year, resulting in an increase in standalone annualized recurring revenue to $230 million. This quarter marks a three-year anniversary since announcing the CRD acquisition and we are very pleased with how the business has performed. We are winning in part thanks to State Street’s brand and reputation, and the benefit to clients of our integrated Alpha offering. On the bottom right of the slide we show some of the second quarter highlights from State Street Alpha mandates. We reported two new Alpha mandates during the second quarter, as the value proposition continues to resonate well with clients. Notably, since inception through the second quarter, we now have five Alpha client mandates that are live. Although, Alpha deals usually take somewhat longer to implement given the size and scope, the payoff outweighs the longer implementation period as we are able to further expand share wallet to generate attractive revenue growth rates and increase the contract length, which can be up to 10 years in length for Alpha services that span the front and middle office. Turning to slide 10, second quarter NII declined 16% year-on-year, mainly as a result of the effects of lower interest rate environment, our investment portfolio yields and sponsored member repo products. These impacts were partially offset by balance sheet expansion driven by higher balances. Relative to the first quarter, however, NII was flat has lower investment portfolio yields and the impact of short end rates were offset by further expansion of the investment portfolio and lending activity. On the right side of the slide, we show the growth of our average balance sheet during the second quarter. Total average deposits increased by $16 billion in the second quarter or an increase of 7% quarter-on-quarter, reflecting the continued impact of the Federal Reserve’s expansionary monetary policy. While we continue to remain mindful of OCI risk in the current rate environment, we tactically added about $5 billion quarter-on-quarter to our investment portfolio a few months ago, before the recent downdraft in rates. We also increased our average loan balances by approximately 5% quarter-on-quarter to over $29 billion, driven by higher utilization by asset managers and private equity capital call clients. We also have a number of initiatives in flight to reverse and reduce this recent deposit uptake that we saw during the quarter. Turning to slide 11, second quarter expenses excluding notable items increased 2% year-on-year, mainly driven by the weaker dollar. Excluding the impact of notable items and currency translation, total expenses were down nearly 0.5 percentage point year-on-year, as productivity savings for the quarter more than offset higher revenue related expenses and targeted investments and client onboarding costs. Compared to 2Q 2020, on a line item basis and excluding notable items and the impact of currency translation, compensation employee benefit costs was flat as we reduce high costs location headcount, which offset higher medical costs as claims began to normalize to pre-pandemic levels. Information systems and communications were up 5% due to continued investment in our technology estate. Transaction processing was up 10%, primarily driven by higher revenue related expenses for subcustody balances and market data costs. Occupancy was down 13%, reflecting benefits from our footprint optimization efforts and some timing benefits. And other expenses were down 11%, primarily driven by lower than usual professional services fees. Relative to the first quarter, expenses were primarily impacted by the absence of seasonal and deferred compensation reported in the first quarter. So, overall, we are pleased with our continued ability to demonstrate expense discipline, as we have effectively managed total expenses ex notables and currency down year-on-year in the second quarter, while driving strong total fee revenue growth. Moving to slide 12, on the right of the slide, we show our capital highlights. We are pleased with our performance under this year CCAR with a calculated stress capital buffer well below the 2.5% minimum, resulting in a preliminary SCB at that floor. The new SCB framework provides us with additional flexibility to deploy our capital base in a number of different ways, including investment opportunities, dividends and buybacks. For example, yesterday we announced a 10% increase to our third quarter common dividends to $0.57 per share and our Board has authorized a common share repurchase program of up to $3 billion from the third quarter of 2021 through a year-end 2022. In addition, we are also pleased that the Federal Reserve has provided State Street with one additional year until January 1, 2024, to retain its current G-SIB surcharge of 1%. To the left of the slide, we show the evolution of our CET1 and Tier 1 leverage ratios. As you can see, we continue to navigate the operating environment with strong capital levels in excess of the requirements. As of quarter end, our standardized CET1 ratio improved by 40 basis points quarter-on-quarter to 11.2% as we had expected and sits above the upper end of our 10% to 11% CET1 target range. The improvement was driven by solid capital appreciation and we also manage down RWAs despite balance sheet growth. Our Tier 1 leverage ratio remains well above the regulatory minimum, but declined by 20 basis points quarter-on-quarter to 5.2%, primarily as a result of the further increase in average client balances as the Fed’s quantitative easing continues. We continue to think that our Tier 1 leverage ratio in the 5s as appropriate for our business model. And we can operate the lower end of this range for a number of quarters, while we consciously limit and reduce client deposits and offer them a range of liquidity alternatives. Turning to slide 13, in summary, our quarterly performance demonstrates solid business momentum on our topline and the scale we are driving within our operating model. Total fee revenue was up almost 6% year-on-year and exceeded $2.5 billion for the first time, with double-digit growth in servicing and management fees, despite the year-on-year headwind from the strong FX trading services results we had in the second quarter of last year during COVID. Our expenses remain well controlled as a result for productivity program. As a result, we were able to drive pretax margin and ROE close to our medium-term targets, notwithstanding the low rate environment. Next, I’d like to update you on our economic outlook for the remainder of the year and provide our current thinking regarding the third quarter outlook. At a macro level, our rate view broadly aligns the current forward rate curve and assumes that short end rates remain low and there is some modest deepening to the yield curve. We are also assuming global equity markets will be relatively flat to quarter end for the rest of the year, as well as continuing normalization of FX market activity. In terms of the third quarter of 2021, we expect overall fee revenue to be up 7% to 8% year-over-year, with servicing and management fees each expected to be up 7% to 9% year-over-year. This means full year fee guidance is likely to be better than the upper end of the full year range we previously provided. Regarding NII, despite the recent flattening of the yield curve, we have seen an increase in short end market rates and we now expect a modestly improved quarterly NII range of $460 million to $470 million per quarter for the rest of the year. Assuming rates do not deteriorate and premium amortization continues to attenuate. Turning to expenses, we remain confident in our ability to effectively manage core operating costs. We expect that third quarter expenses ex notable items will be flattish, plus or minus 0.5 percentage point year-over-year in 3Q. These fee and expense guides for 3Q include approximately a point of currency translation year-over-year. On taxes, we expect that the 3Q 2021 tax rate will be in the middle of our full year range of 17% to 19%. And with that, let me hand the call back to Ron.
Ron O'Hanley: Thank you, Eric. And with that, Operator, we can now open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi. Good morning. Thanks very much.
Ron O'Hanley: Hi, Betsy.
Betsy Graseck: I just start -- wanted to start off by talking a little bit about the fee guide that you just went through. Could you just give us a sense as to the major drivers? I mean, I realized that throughout the call, you were talking about the pipelines up? You have got a reinvigorated sales effort going on? Is that what’s driving this so quickly or is there something else that’s happening that leads you to the fee guide raise? Thanks.
Ron O'Hanley: Yeah. Betsy, why don’t I start and Eric will comment. I mean, it’s -- I wouldn’t describe it as so quickly. I mean, what you are seeing here is the product of a lot of months and years of work that’s now coming together and starting to bear fruit. So and not that we were done. We have more work to do. But I think really it is about some of the things that we have told you in the past that we have been up to that are coming together and starting to have the impact -- the desired impact here.
Betsy Graseck: Okay. Thanks. And then maybe you could just refresh how you are thinking about the asset management business and where you would like to lean into growth, what pockets you are looking to invest in and if that’s by geography, too, that would be helpful?
Ron O'Hanley: Yeah. I mean, they -- we think of the business is having three core elements to it, the ETF business, the institutional business and the cash business. And both are well established franchises. The areas that we like to lean into are the institutional business, first, and I will come back to the ETF business. But the institutional business has very strong client relationships around the world, but a limited product set. So what -- we spent a lot of time thinking about is, how do we take those relationships and that distribution channel and leverage it in some way through enhancing our product capabilities. On the ETF side, we have been on a long path to developing the products that there, as well as deepening our presence in geographies outside the U.S. You have seen a lot of payoff from that particularly in EMEA. We will continue to grow that. Areas of growth include ESG, which for us continues to do very nicely, as well as just continuing to emphasize the advantages of our core product set. It was an -- it’s an institutionally designed product set. It has a lot of liquidity to it. And liquidity is important to many investors. So it’s emphasizing what we have there. And then the cash business is, obviously, it’s a function of interest rates. But we have a very sophisticated cash business that works in different interest rate environments and we will continue to present that to both existing asset management and asset servicing clients, as well as clients that don’t have either of those relationships with us.
Betsy Graseck: Thanks, Ron. Thanks, Eric.
Operator: Your next question comes from the line of Brennan Hawken with UBS.
Ron O'Hanley: Hi, Brennan.
Brennan Hawken: Good morning. Thanks for the -- hey. How are you, Ron? Hi, Eric. So another follow-up on the updated outlook. I noticed, Eric, that you said, we are going to be above the upper end of the range for the full year, which doesn’t seem that challenging, given how strong things were here in the second quarter and given how good 3Q looks at this point. Is it possible to narrow that full year fee revenue outlook to something more specific than just a greater than sign? How are you thinking about it and how should we think about it? And then also what are your assumptions for balance sheet size embedded in the updated NII outlook? Thank you.
Eric Aboaf: Sure. Brennan, it’s Eric. Let me describe it this way. I think we are seeing very good performance across a number of our businesses. In addition to some of the tailwinds that you get from equity markets and I think it’s a combination of both. Equity markets are up globally quarter-on-quarter 5%. So that gives us another step up for servicing and management fee businesses. But in addition, I think, what we are seeing is strength in net new business revenues. Last quarter, I said, we were relatively neutral on net new business and servicing fees. This quarter we are nicely positive on that front on the servicing fee side. In management fees, we have been booking a couple quarters here in a row of very nice inflows. They have come with annualized net new revenues that are solidly positive and create a tailwind as well. And then you saw, we have had good performance across our sec lending franchise, CRD had another good quarter and so we are comfortable with a higher guide. I think I gave you primarily third quarter information and then maybe just try to answer the question directly. The full year fee guide, if you recall, was taken up last quarter to 2.5% to 4% year-over-year. Remember that includes lapping ourselves from the COVID bumps from FX a year ago. So our guide has had been 2.5% to 4% for total fee growth. And I think now you can count on around 5% growth. So we are going to go from that range to about another point up over the top end of that range for the time being given what we know today.
Brennan Hawken: Okay. Great. That’s fair. And the balance sheet size piece of the NII?
Eric Aboaf: Yeah. The balance sheet always has puts and takes and ins and outs in this environment of quantitative easing. And what you have seen us do is we have tried to put some of the additional deposits to work, you have seen us take advantage of the increase in IOER and the Fed floor on the on repo rate. So that’s been constructive. We do need to manage also the size of the balance sheet, because as we compress the balance sheet that frees up leverage ratio capacity and then that feeds back into our ability to return capital. And so, we are pretty serious about compressing some of those deposits. We had more of an uptick in May and June. April was kind of roughly in line with the first quarter and so we are starting to chip away at that and we see a path to do that. I don’t think that will have much of an effect on NII. Remember at these low rates, deposits, when you -- the incremental deposit is worth a little bit, but not a lot. But it will be the right way to manage the balance of NII, which I think will comfortably sit in that new range that we have provided, while also freeing up space for capital return, which is an important priority for us.
Brennan Hawken: Great. Thanks for providing that clarification, Eric. You also in your prepared remarks mentioned that fee rates vary. When you think about the nice uptick in your won but not funded mandates here. What is those fee dynamics look like? How should we think -- when we are starting to think about modeling, building those out from here? Are those -- is -- does the success of Alpha that you have had and Charles River, which we saw in the results today? Does that help support the fee rates for the businesses that you are working or is the competition just still so intense that that’s just too optimistic? How should we think about those fees that are oncoming? Thank you.
Eric Aboaf: Sure, Brennan. It’s Eric again. I think there’s a real range here. What you tend to get, it’s not whether its Alpha deals or classic cutting accounting deals. It’s really the size of the deals tend to come at different fee rates. And so, we saw some larger deals this quarter and because it’s the denominator of assets is larger, they will come a little lighter in terms of fee rate. On the other hand, in first quarter, we had a set of wins that were well above our traditional fee rate. And so you kind of have a number of combinations and what we are always doing is on a profitability basis and on an incremental basis, always making sure that as we add revenues, we do it at healthy margins. We use it as a way to control our costs and be disciplined. And so I think fee rates will bounce around for wins in one quarter versus the next. But we are actually quite pleased with the fee rate for the first half of the year is well in line with our overall fee rate for the company and that bodes well as we leg into and implement some of these new wins.
Brennan Hawken: Great. Thanks for that color.
Eric Aboaf: Sure.
Operator: Your next question comes from the line of Ken Usdin with Jefferies.
Ken Usdin: Thanks. Good morning, Eric and Ron. Just wanted to ask a little bit more on the capital return, just in terms of how you land on the $3 billion number vis-à-vis your balance sheet potentially uses and also your capital ratio targets. Are you aiming for a total return payout? How are you -- under this new SCB, how do you kind of land on that number and how should we be thinking about, whether there’s would be potentially more room depending on some of those other factors? Thanks.
Eric Aboaf: Ken, it’s Eric. They are always facts and circumstances on individual capital return at any time in place. But let me give you the kind of the envelope and how we think about it from our standpoint about what’s possible and what we would like to do knowing that there’s always -- that they always have to manage to the individually to the quarters. But the SCB does give us some flexibility. So let me do it in the following way. One of the things we start with is, what is our CET1 ratio and you saw we put an 11.2%. The first thing you can do is compare that to what’s the target range 10% to 11%. You can say, look, first step is, how do we float down that ratio to the midpoint of that range and that provides $700 million and $800 million of capital or return capacity. So that’s one piece. Secondly, you go through earnings, earnings next quarter, the quarter after you guys will have projections of earnings. And what we do with those earnings, and say, how do we give those earnings back to shareholders in the form of capital return. So, one part of that is the dividend. And then the balance of the earnings can often be returned as buybacks. So that’s a -- that’s an intention we often have. So you can add those buybacks that cover the difference between earnings and dividends for the next, two quarters, three quarters, four quarters, five quarters, six quarters, because we gave you kind of a six quarter view. And then finally the one thing you have to keep in mind is the balance sheet always grows a bit, not at the same intensity that that lending oriented bank does, but our balance sheet might grow risk weighted assets by 5%. So there’s kind of a -- there’s always a bit of capital retention that’s necessary just to fund on $120 billion RWA 5%, you always need to retain maybe $600 million typically in a year of capital to hold against that. So if you go through those pieces, it’s literally the down -- the floating down. It’s the -- what earnings can support net of the dividend goes into buybacks and then it’s the modest amount of retention you need for some good underlying growth, which I think, pencils out to that up to $3 billion range.
Ken Usdin: Got it. Thanks for that call. Second question just on your NII guide and the range, you mentioned that premium am would continue to attenuate. Just wondering if you can help us understand how much attenuation would you expect and where was it this quarter versus some of the other factors that are kind of working against it to kind of keep us in the zone? Thanks.
Eric Aboaf: Yeah. Premium amortization actually is a bit bouncy from one quarter to the next, just given kind of where you are with individual bonds and so forth. But what’s happening is, you have got the grind on the investment portfolio, which can be in the $15 million to $25 million range. And then premium amortization can work in the opposite direction in the upcoming quarter as we are thinking it’s in the $15 million range, but it will bounce around. And so you kind of have this headwind of rates just floating through, premium amortization going the other way. But it can bounce around plus minus $5 million easily from one quarter to the next and that’s the kind of thing we just want to be careful of. What is nice is, we are starting to get to a leveling off of the net yields on the portfolios, roll-offs are starting to get better matched with roll-ons. That’s a good word to use roll-off and roll-on of bonds. And so you saw that we printed net yield on the investment portfolio without 1.11%, 1.12%. We are pretty close to the bottom of that yield and that’s what gives us comfort that we are in this range for the time being, though, as you could see from my prepared remarks. We took the that -- the upper end of that range up a bit, just because of the improvement in front end rates.
Ken Usdin: Understood. Okay. Thanks, Eric.
Eric Aboaf: Sure.
Operator: Your next question comes from the line of Glenn Schorr with Evercore ISI.
Glenn Schorr: Hello there.
Ron O'Hanley: Hi, Glenn.
Glenn Schorr: So it’s good -- hello, there. So it’s good to see the margin back to the 30% range and if I listen not too carefully, I hear good markets, good organic growth, better commentary about fees, NII and fee waivers and continue to control expenses. So is -- the question is the 30%-ish margin here to stay for now, because it sounds like everything is moving in the right direction right now?
Eric Aboaf: I think -- Glenn, it’s Eric. I think here to stay is a pretty definitive term. I think what you can see is a solid progression over time in our margin and while one quarter doesn’t make a year, it doesn’t -- isn’t the intention that we have. I think you can see progress. I think you can see progress over quarters. You can see progress over years. I think there was a time when we would have taken the equity market tailwind and years ago, you would have seen expenses creep up a lot more than they did this quarter. And so I think you are seeing a discipline that’s pushing margin in the right direction and I think we are pleased with our performance. We would like to do it again and again. But that’s the -- I think the focus and the intensity we bring. But good results, I think, right direction and we -- as Ron said in some of his remarks, this has taken quarters and years to get to this point, but we need to keep at it to consistently deliver this kind of result.
Ron O'Hanley: Yeah. Glenn, what I would add too is, as you know, margin is a part of our medium-term targets. We laid out those targets at a time when there was a very different NII picture. So it’s taking longer than we would have liked, but it’s very much part of what we said we were going to deliver. It’s built into management compensation. So I think that you should expect as much intensity around it tomorrow as you have seen up to now.
Glenn Schorr: I appreciate that. Just one quick follow-up, on First Abu Dhabi, I just want to understand, is this eventually replacing outsourcing global custody in the region? Is there a broader mandate? I wonder if you could expand on what you expect or hope out of the relationship.
Ron O'Hanley: Yeah. So, I mean, we have talked in the past about our intensified efforts in the Middle East. I mean, we have been there for a while. But we have taken a number of steps to augment our presence there. We have got full licenses or we have got licenses now in Saudi Arabia. Think of First Abu Dhabi as doing two things. One, we become the global custodian for their client base. Two, they become our subcustodian in regions where -- in parts of that region where we don’t have local custody. So replace other subcustodians in our network.
Glenn Schorr: How quickly can that happen based on subcustodian fees?
Ron O'Hanley: I mean it’s starting now. I mean, we will start, obviously, there’s contracts that need to move and things like that. But it will happen pretty quickly over months and a couple of quarters, not years.
Glenn Schorr: Excellent. Thank you for all that. I appreciate it.
Operator: Your next question comes from the line of Alex Blostein with Goldman Sachs.
Alex Blostein: Hi. Good morning everybody on Friday. I was hoping to get a couple of questions on CRD. I guess, one, can we get an update on the uninstalled revenue backlog, $93 million? What’s the typical timeframe of those installations? And when it comes to new bookings, the $19 million, any color you guys could provide around client types and service types that are embedded with the $19 million that would be helpful. And then, I guess, just a numeric question, sorry, if I missed it, Eric, did you guys mention the episodic benefit, how much debt contributed to the quarter in CRD specifically?
Eric Aboaf: Sure. Alex, it’s Eric. Let me touch on each of those, because we are real pleased with the CRD performance both in terms of this quarter’s wins, the backlog, I think, the momentum, and obviously, how it contributes to the broader State Street whole. Just to take through the new bookings, $19 million for the quarter was a five-quarter high. Some of that, I think, you can easily ascribe to the Invesco win, which was front office, middle office, back office, as we continue to expand that relationship and you would have within the $19 million, the front office piece of that win. On the uninstalled backlog, the $93 million, it’s a mix of installations that come over six months, 12 months, 18 months, in some cases, 24 months. What I will remind you is that the longer installations tend to come with professional services fees as you prepare and do those implementations. The classic -- in the classic software sense, those get reimbursed and paid as part of many of the contracts, until you get to the go-live period, which in some cases a short for smaller installations. In other cases, it takes longer, just given the size and complexity of what we are onboarding. And then, I think, finally, you asked about the total revenues. The on-premise revenues were hit a high of another high, just like a year ago, coincidently of $63 million. Some of that was the classic re-upping of installations and that renew from three-year-old contracts, five-year-old contracts, that kind of stuff. I think some of the most episodic items in there are probably in the $20 million to $25 million range. So I just encourage you guys to take an average of quarters over five quarters, nine quarters, that kind of thing and that will give you a better sense for what’s typical in that on-premise line, but maybe that’s enough to start with.
Alex Blostein: Yeah. That makes sense. And then just a quick follow-up around capital and just a follow-up to Ken’s question earlier. The fact that you guys are a little bit below your -- the low end of your target on Tier 1 leverage, it sounds like there’s room to manage those deposits out over time. How does that inform just the pace of buyback from here, the $3 billion that you guys got authorized last night? Should we think of that evenly spread out through the end of 2022 or a little bit more back-end loaded as you guys work through the balance sheet dynamics?
Eric Aboaf: Yeah. That’s a fair question, because we have got to balance a number of different factors. I’d tell you on Tier 1 leverage, we are comfortable operating in the 5s and this is right way risk. If you think about it, we have got an influx of deposits. They are held at the safest place in the world, the Fed and the central banks. And so we are not particularly exercised that bumping at or even down a bit from the lower end of that range. So that’s fine as long as we have plans over time that we can execute and we do have those plans. That’s what we do for a living. And as I mentioned, we have got actions in place. Some of those deposits came in a little heavier in May and June. We have got a set, for example, of ongoing client discussions of a mix of commitments and ongoing discussions, for example, around $10 billion of those that are literally happening, that have happened last week, this week, and so there are ways for us to chip away at that. In terms of the buyback patterning, while it’s always dependent on facts and circumstances and exactly what’s going on at any point in time. We don’t have an interest in back loading buybacks necessarily, like, we would rather do them relatively smoothly, again all else being equal. And we think we have plenty of capacity given our higher levels of capital ratios and our strength and the confidence we have on our deposit management efforts to deliver those in a relatively consistent way, and in a way, I think, that shareholders would appreciate.
Alex Blostein: Awesome. Thanks very much.
Operator: Your next question comes from the line of Brian Bedell with Deutsche Bank.
Brian Bedell: Hi. Good morning, folks. I just want to come back to the balance sheet one more time, in terms of the size and how you are managing that. I don’t know if I missed it for the $460 million to $470 million quarterly guide, your -- what’s embedded in the size of the balance sheet, given that it did spike up in the second quarter, if that’s -- if your expectation is for that to moderate? And then longer term over the next six quarters in conjunction with the $3 billion buyback, you mentioned, obviously, keeping capital for balance sheet side. So maybe if you could give us some thoughts around whether your plan is within that buyback expectation to continue to grow the balance sheet on a year-over-year basis and how that contrasts with the comments about trying to reduce the excess deposits on the balance sheet?
Eric Aboaf: Sure. Brian, it’s Eric. There are a couple of factors in there that both get at a total balance sheet and then the risk weighted asset content on the balance sheet I think as we distinguish those two. Let me just tackle your questions in order. On the NII range of $460 million to $470 million per quarter for the next couple of quarters, that fully takes into account some of our deposit management efforts. Remember, the incremental $10 billion deposit doesn’t earn us a ton these days and so that’s been factored in to that range. And the underlying reason in that range has slowed up a little bit as the front-end rates have ticked up, which was gratifying. In terms of balance sheet growth, we need to contain the size of the balance sheet in terms of size, call it, leverage assets, right? That’s what we need to contain. Under the surface, there’s always some amount of healthy growth in risk weighted assets, right, because as we support our clients in the FX business or in the sec lending business or by lending to them, we have to expand those modestly. Now on our balance sheet we are a capital-light business. We have got a -- we have RWAs on our balance sheet that are in the $120 billion range. What -- I don’t know, there’s a range of what those can grow, but they are not growing at 10% a year. They may be growing 5%-ish a year, plus/minus a couple of points and so it’s kind of that level. And when you grow RWAs, that amount, you are not really adding to the leverage balance sheet. The leverage balance sheet, which connects with Tier 1 leverage is driven primarily with deposits and that’s separable from the RWA kind of growth typically.
Brian Bedell: Okay. Got it. That’s clear. And then just maybe just back to the Abu Dhabi relationship, and as you said, Ron, you expect that to start moving pretty quickly. Should we think about any impact to AUC/A for State Street and asset servicing fees related to that or is it less material?
Ron O'Hanley: Yeah. Brian, I would say that our -- I mean, clear it would -- our expectations would drive AUC/A. I think it will be a modest amount at the beginning. It will also help us to continue to contain and manage our subcustody costs. And maybe most importantly, over the medium-term, given the relationships there, it will help further our penetration in the region. So, I mean, that’s probably the most important reason to be doing it. They are just a terrific partner.
Brian Bedell: Okay.
Ron O'Hanley: The other thinking, the challenge that we often have and others have, too, is that there can be times when you have got subcustodians and you like them, but you are competing with them in certain instances. And in this case we have -- we now have a subcustodian that we are not competing with.
Brian Bedell: Right. Right. That makes sense. Okay. Thank you.
Operator: Your next question comes from the line of Steven Chubak with Wolfe Research.
Steven Chubak: Hi. Good morning.
Ron O'Hanley: Good morning.
Steven Chubak: So I wanted to start off, Eric, maybe with a question on securities growth. And more specifically, I guess, related, sorry, to the LCR. You had strong deposit growth, as you noted. The LCR ratio is running a ratio is running a little bit tight at 104% versus 100% minimum. I was hoping if you can just give us some sense philosophically, how you are managing to LCR constraints? And just given the poor QE, liquidity treatment of QE related deposit growth, how does it impact your ability to deploy at higher yields and even just grow the securities growth book incrementally from here?
Eric Aboaf: Sure. Steve, it’s Eric. The LCR has some anomalies. I will remind you of in the calculation between the all-in corp LCR and the bank. And the best way I can describe it is what’s most pertinent to us as a institution, a bank holding company, is actually the bank LCR. The bank LCR is at 131%. So it’s extremely flush and it’s got plenty of room. What happens at the corp is that the additional deposits gets haircut just because of transferability, which is fine. And what happens in the calculation because of how the numerator is factored in for that and the denominator, I am happy to put you in touch with our IR team to share with you some of the scenarios is that, as we become more flush at the bank, which is a good thing, you have this odd result at the corporate holdco where the LCR goes down. What’s ironic is that, if we were to begin to reduce deposits, what happens mathematically is that the bank LCR starts to flow down from this very elevated 131% and the corporate LCR actually floats up. And I think it’s best to probably have, so when we work through the algebra with you, it’s just how the rules are configured, they are fine. But we are actually quite flush with LCR and are operating quite comfortably.
Steven Chubak: Thanks for that color, Eric. And the follow-up I had is just on expenses. You have done a great job…
Eric Aboaf: Yeah.
Steven Chubak: … of raising expense clearly in 2Q, the 3Q guide reinforces a similar trend, but there is some growing concern amongst investors, just given many of the other large banks are guiding higher on expenses talking about accelerating investments. I was hoping you might be able to give us some context on what the full year expense might look like for this year? And even talk thinking through what the growth algorithm might look like heading into next year, whether you might need to step up investments to keep up pace with peers ultimately.
Eric Aboaf: Sure. Steve, let me start. Expense has been a focus for several years in a row now. We have gotten expenses down, ex-notables and adjusted for currency, down 2% and 1.5% last year, and this year, what we have said is that on a nominal basis, we expect expenses on a full year basis to be flattish, plus or minus 0.5 basis point range. And that’s nominally and on an adjusted for currency basis and notables, it would be down by about a point, obviously, with a range around that. And obviously the biggest thing that we wrestle through this year, in particular, is that there are revenue related costs that come through, as we have mentioned, some custody costs are often AUC/A based, market data costs or AUC/A or AUM based. And so those are what we are working through and why we have a range there and we have stuck with our -- we have stuck and are sticking with that range given what we know today. I think the -- if I step back, the hallmark of our approach to cost is that you have got to systematically have productivity programs in place that actually save not a little bit, but save a good amount of cost, right? And I think we show you typically when we do our January call, at the beginning of the year that we are looking to take 4 percentage points or 5 percentage points of the expense base off through a set of productivity programs. We -- and that on a base of $8 billion, 4 point or 5 points is that’s significant amounts. It’s hundreds of millions of dollars of revenue, but we are a scale business. That’s what we should be doing. And then at the same time, what we are doing is reinvesting a portion of that, not all of that, but a portion of that in the underlying business. And sometimes we invest by expanding coverage and sales forces. Sometimes, we reinvest by expanding and product feature functionality. Sometimes we invest as we onboard clients, right? We have some marginal cost that we have to have and we are usually happy to do that because it comes with revenues on the other side of it. And so our programmatic approach is to save sufficiently so that we can reinvest. And we will continue to do that. Now, how those balance out, we have given you a sense of how that balances out to down expenses in 2019 and 2020, it was down, and this year, we expect to be down as well, again, adjusted for notables and currency translation. How that plays out, we are going to keep working through. It’s a little early to talk about next year. But I think you can tell we are pretty focused on this. But, obviously, we do need to factor in revenue related cost and as equity market continue to tick upwards, we have to factor that in and that’s a little more of a feature this year and maybe even upcoming time periods than it has been and so that is something that we have to work through. But at least that’s the broad approach.
Steven Chubak: That’s great color, Eric. Thanks so much for taking my questions.
Eric Aboaf: Sure.
Operator: Your next question comes from the line of Gerard Cassidy with RBC.
Gerard Cassidy: Good morning, Eric. Good morning, Ron.
Ron O'Hanley: Hi, Gerard.
Eric Aboaf: Hi.
Gerard Cassidy: Eric, can you -- I think you said on the call and I am trying to get the transcript, I think, obtain it. So I apologize I have to ask this question. I think you said on the call that new business wins this quarter contributed positively. I think you said maybe earnings versus last quarter it was neutral. First of all, could you clarify if it was earnings? But second, what was the changing dynamics between the two quarters that enabled this quarter to be a positive number versus last quarter it was neutral?
Eric Aboaf: Gerard, it’s Eric. The -- I think you have got the good memory and summary, and let me just add the specifics. As part of my prepared remarks on servicing fees, right? I was clear that part of the increase on a year-on-year basis in servicing fees came from positive net new business. So, more wins installed than the usual modest amount of attrition that we get. And that is in contrast, you remember correctly, last quarter, I said, new business -- net new business was neutral, and I said, we were not as pleased as we would like to be. We would like it to be positive and it’s important for it to be positive. And part of what you are seeing is I think that, over the last couple of quarters, we have accelerated our wins and win rate. You see a little bit of that in AUC/As, but it’s bouncy, right? You have seen us put in place an installed business quickly in some cases. So remember, custody can get installed quickly when it’s won and so we have had some focus on some of those kinds of wins and those have come through. And the intention here is, how do you continue to sell and expand share of wallet with clients, not just with the top 60 as we have talked about, but the next 100 and the next 200. And so I think what we are starting to see is some of the effects of the or some of the results of that more intense coverage process, some of which we presented at one of the conferences back in June is starting to take root in a more, I will say, a more consistent way. That doesn’t mean it will happen every quarter, but we are, I think, quite pleased with this quarter and we see that it’s been building, it’s been a building -- the momentum has been building in this regard.
Gerard Cassidy: Very good. Then the follow-up question is on the Alpha product and you are having, obviously, some success now in winning over new customers. I guess, within that area, what percentage of your pool of customers, you just referenced, Eric, the top 60, for example? What percentage of your customers are eligible -- you think would be interested in the Alpha product? And second, when you talk to your customers about taking on Alpha, what are some of the challenges you have found to convince them that it’s really in their best interest to do it?
Ron O'Hanley: Hey, Gerard. It’s Ron. Why don’t I take that? I mean, in theory, I suppose we would say, 100% of them are eligible. Starting point really matters here. The clients that have been -- we have now got experience under our belt, 15 through the end of the second quarter, a whole lot more current conversations underway. Typically, there’s some kind of trigger point like an aging technology, ineffective or excessively costly operation stack that triggers this. The obstacles to it are several-fold, right? These are big change programs. And typically the institutions that are going forward with it, it’s not about a deputy head of operations has decided to come hire us. It’s almost always at least driven from the CIO and the COO, meaning the Chief Investment Officer and the Chief Operating Officer. And oftentimes, it’s on the CEO’s agenda. So when there’s that kind of focus on it, that’s when these things tend to happen. Now, just given what’s going on and some of the trends in the asset management industry. I mean, the industry is buoyant now with some of the underlying trends in terms of aging technology, real challenges around data management and how do you effectively use the data. You have these issues are on the agenda of most CEOs. So it’s very few instances where there’s not a conversation going on. How it plays out will be different, which is why we built the model the way it is, meaning it’s interoperability. We will -- we have had different wins where, in fact, we are interoperating with other front office systems to the extent we need to, such as Aladdin. And so we have tried to build this recognizing that these are very large sophisticated clients, long histories, lots of kind of software in their stacks and we want to make this work across a broad variety of clients.
Gerard Cassidy: Very good. Just as a quick follow-up on the share of wallet that you just referenced earlier, Eric. Have you guys found yet with the Alpha customers that you are having better success in expanding the share of wallet once you get them onboarded and up and running than a traditional customer?
Eric Aboaf: Yeah. Gerard, it’s Eric. That’s exactly the result that we are seeing, because what we are finding is not only, do we expand up and down the value chain, we had the front office, the middle office in many cases and the back office. But as you do that, it’s much more natural to begin to, say, if you are going to add middle office and back office to begin to consolidate the custody, for example, in the relationship or to connect with the -- some of the trading activity that we have, because some of the trading activity can plug, for example, directly into Charles River. So that’s the underlying benefit is the expanded share of wallet, so supplemented by these become even stickier relationships. These become true partnerships as opposed to a service arrangement.
Gerard Cassidy: Great. Thank you.
Operator: Your next question comes from the line of Jim Mitchell with Seaport Research.
Jim Mitchell: Hey. Good morning. Ron, you noted that you want to lean into the institutional asset management business and this quarter was one of the best flow quarters in five years. So can you, I guess, one, describe in more detail what you are doing on the sales and distribution side to drive the improved growth? And I guess, secondly, when you talk about adding products and capabilities, what areas would you look to add? Is that an organic effort or does that need to be acquisition, just some help on that? Thanks.
Ron O'Hanley: Yeah. I mean, we -- what we have done is over the course of now a couple of years, taken a very good sales and relationship management force and made it better. We have the benefit in most of our instances because of the core passive products, where if we are in a client, we tend to be if not the largest manager, one of the largest, which by definition gives you a seat at their table as they think about asset allocation, those kinds of things. So it’s been very systematically building out and upgrading our capability to have those conversations and provide those products and to have an increase share of their wallet. ESG has been providing some real tailwind here. We have got a long history in it. We have got a strong reputation in it and we have been able to both have those conversations and shape a lot of asset allocation there. In terms of products, I mean, it’s -- if you think about it, it’s -- we tend to dominate one end of the barbell. So as you look out across the rest of the barbell, almost anything would be eligible. Our focus is on now multi-asset products and building some of those ourselves or creating them bespoke from -- for very large clients through product capabilities that we already have. But the way we are thinking about it conceptually is that, we have a distinctive strength in terms of our institutional sales and client management capabilities and we are thinking about how to do that. We think there’s an organic opportunity. In terms of inorganic, I mean, those -- they are hard to engineer, right? So if something comes along that makes sense for our clients and for our shareholders, we will certainly look at it. But there’s been plenty of organic that we have been able to do that you are now seeing in the results.
Jim Mitchell: All right. Great. That’s helpful. Thanks.
Operator: Your next question comes from the line of Mike Mayo with Wells Fargo Securities.
Mike Mayo: Hi. In late 2018 you had around 40,000 employees, now you have 39,000 employees. So I was just wondering, you are putting on more revenues without adding headcount. To what role has technology played into that and what are your expectations going forward? And the big picture question is, what’s the state of your tech backbone in terms of, how much are you in the cloud, public cloud, private cloud, how much do you expect to remain for almost a decade later, after State Street first implemented the cloud, it didn’t go great last decade. It seems like it’s going better now. So kind of an update on that, and again, tying that back to headcount?
Ron O'Hanley: Yeah. Mike, its Ron here. In terms of your point about the leverage we are getting out of the employee base, I’d make a couple of points there. That the composition of that also has changed too. I mean we are continuing to leverage and utilize lower cost locations, so you would find that the mix has changed over that period. But you are raising actually the more important point, which is technology. And listen, service productivity and it’s not just this service and it’s not just this firm, service productivity has been elusive for a long time now. And I think we and I suspect others are getting our arms around it. A lot of it is automation, a lot of it is taking an automation and services, it’s not the quite same thing as you envision, an automobile assembly line with lots of moving mechanical arms. It tends to be you are taking many, many tasks that constitute a job and automating those, such that what’s remaining in the job is higher value-added and those things where you need judgment. We are getting better and better at instituting that. We also, Mike, and we have talked about this in other context, we are spending a lot of time on measuring productivity. Again, manufacturers, the good ones have had this down for a long time, service companies it’s much newer. We have got a significant percentage for our company now that’s covered by productivity metrics. And sometimes, it’s -- the old Hawthorne effect, right? You just -- now that there’s a measure and you are saying, hey, there’s a difference between this group and that group, and they are pretty similarly situated and doing the same thing, what can we learn from that and that is starting to drive some of that productivity. On the technology side, I stand by the team that we have. It’s an outstanding team. It’s making a lot of progress. As you know, in technology, it’s -- some of it is about pure investment in new stuff and new capabilities and that’s part of the investment that we are making. A lot of it is around continuing to up our resilience. This is an ongoing issue for the industry, particularly in cyber as the cost to deal with that goes up and up and up. And as a G-SIB, we need to be at the lead and we want to be at the lead there. But I think we are making very good progress. It’s showing up in the numbers. Again, it’s the result, not just the things that we did last quarter, but the things that we have done now for many quarters and approaching years and they are starting to payoff and you will see more payoff in the future.
Mike Mayo: And just -- I found that very interesting, the analogy you gave with the auto assembly line. So when you automate a services business, how much of that can you automate leaving the value-added parts at the end? And again, on the headcount question, maybe you don’t want to answer that one or maybe you don’t know yet, going ahead, but those two follow-ups, please?
Ron O'Hanley: Yeah. I mean, the -- you are asking the question and the first part of that next question you have asked, which is how far can we go? And we don’t know that yet, but we know there’s a lot more we can do than we have done. I mean to think about the striking of a NAV of a net asset value. I mean there’s a lot that goes into that and then there’s a lot of reconciliation and checking that goes into that. We are -- again as we have talked about in other forums, we are putting a lot of AI into that, right, to make that NAV calculation not be this flurry at the end of the day that begins at 4:00 and hopefully is done by 5:15. But in fact, it’s starting as soon as trading starts such that what you are doing at the end is really that final checking where you do need human intervention. So, and Mike, what was your question on people? Did I miss a question or headcount?
Mike Mayo: Yeah. Just -- no. Again, I was trying to make the connection between technology and headcount, and maybe I am forcing that connection. But your headcounts are flat. Your revenues look like they are going higher. You talked about backlogs, installation, intense, coverage process, do you expect headcount to start going up again given those initiatives and the backlog?
Ron O'Hanley: I think what you should expect to see from us is a breaking of the relationship that occurred in the past, which is that headcount and compensation related costs went up kind of at the same level as revenue did. What this really is about is just getting more scale and scale effect out of our system. And in the past some of our challenge has been that we tend to deal with the most sophisticated clients highest demanding. They pay us a lot of money. So their demands are justified. But we have gotten much better about getting scale easing out of those relationships in those operations and you should expect us to continue to do that.
Mike Mayo: Got it. Thank you.
Operator: Your next question comes from the line of Rob Wildhack with Autonomous Research.
Rob Wildhack: Good morning, guys.
Ron O'Hanley: Hi, Rob.
Rob Wildhack: Just another question on CRD, you guys did a nice job highlighting some of the drivers of this quarter’s results. I am wondering if you could comment on the trajectory of the software enabled and professional services pieces. Do you think that the 10% growth that we saw this quarter is sustainable?
Eric Aboaf: Rob, it’s Eric. That certainly is sustainable. I think the, what we would actually like to do and you have seen in different quarters, if you go back to the last few earnings releases is that the combination of professional services and software enabled revenue is actually growing nicely in the double digits, it’s not -- in some cases, closer to 15%. And because what’s happening is two things. One is you have got take up in the market for new installations and I think we have described in the past, the number of SaaS clients, for example, is up. But you also have over time conversion from on-premise to SaaS, because clients are realizing the value of a cloud offering, a more standardized cloud offering. It still has to connect with their -- the rest of their estate, where they can then get upgrades and the new feature functionality that we roll out on a regular basis. So that’s a -- that component of the professional services and software enabled set of revenues in Charles River, I think, are going to be in the mid -- in the double-digit teens typically. They will just bounce around a little bit with professional services. But that’s a real -- that’s -- I think that’s the future of the franchise is in those areas.
Ron O'Hanley: Rob, what I would add to that is, much of the investment that we have or one of the key investments we have put into CRD was, in fact, are enhancing, it’s not overhauling the cloud offering. We have migrated that to the Microsoft Azure platform. It’s now being installed in clients. It gives a whole -- a combination of more standardization. But as Eric noted, more flexibility for clients that have unique needs. And particularly, as you get outside the United States, there’s very particular desires on where the data is located and Azure is giving us that ability to basically be flexible on that in terms of data location, which is -- should -- it’s basically a more robust SaaS offering than Charles River had when we bought it.
Rob Wildhack: Got it. And maybe relatedly, I did want to ask about profitability in CRD. Do you think that you are starting to see signs of scale in that business and then what do you think about the longer term profitability or margin profile of the business going forward?
Eric Aboaf: Rob, it’s Eric. Yeah. We are getting to that point. I think we bought Charles River three years ago as we said. We announced the deal and in the first year or two-year, we needed to reinvest in the platform. That was part of our deal modeling, was part of what we thought would lift revenue -- topline revenue from what was single digits into the low double digits on average we have said. And so we did need to reinvest last year of 2019, 2020 and this year. But I think we are starting to get to the point where it’s got now the scale and the functionality it should have, where it can -- where we can really deliver earnings growth over time and take advantage of the momentum and take up that we have seen in this business.
Ron O'Hanley: Rob, there’s been two -- I’d categorize the investments in Charles River in two broad categories. One is what you would have expected us to do for that matter, probably, any other buyer, which was, okay, we are going to enhance the offering here for Charles River and its historic established core business. The second category of investment has been related to the whole Alpha platform and making Charles River an integral part of that, enabling the kind of connectivity that Eric was talking about earlier connectivity to other parts of State Street connectivity, if you think about Charles River is the front to the middle and the back. And that’s been -- there’s been a lot of investment there and also a lot of development that’s come out of that. I mean it’s not like nothing has popped out, some of -- there’s been quite a bit that’s been completed and implemented. And we think we are kind of at -- that the peak of that and that, that should start to flatten and then decline.
Rob Wildhack: Got it. Thank you, guys.
Operator: And your next question comes from the line of Vivek Juneja with JPMorgan.
Vivek Juneja: Hi. A couple of questions for both of you, Ron and Eric. Firstly, Ron, you mentioned you have a wider -- you talked about the products in the asset management side, where does active stand and equity stand in your mind given that that has been stuck for the last four quarters. It hasn’t really moved despite the strong markets? Is that still something you want to be in? Do you exit or what’s your thinking there? I know it’s small, so but given your comment about how you got a wide window?
Ron O'Hanley: Yeah. It’s small and much of our active equity also tends to be in the value space, right, which is, Vivek, is not yet seen enduring day in the sun. But we do believe that active will play a part and should play a part in portfolios. We actually think that the move to active ETFs will help propel that. It will provide a different vehicle to construct portfolios with. So we view this institutional relationship management channel is one -- again, given the nature of the people and the nature of the relationships as one that can accommodate a broad set of products including active equity.
Vivek Juneja: And would that really need an acquisition to sort of make a material impact on that or...
Ron O'Hanley: Again, we are focused -- the organic agenda is pretty full in terms of products at this point and that’s where our focus will be. I just hate to speculate about inorganic, because that’s all it would be speculation. Again, to the extent to which something came along that made sense for our clients and for our shareholders, we would certainly take a close look at it.
Vivek Juneja: And a completely separate question, if I may, the big win with someone like Invesco, huge existing client already. What is -- given that they are already a large client, what is the incremental services, and therefore, the incremental fee revenue from that, the $1 trillion sounds big, but how should we think about given that they are an existing client? Alpha, is that -- did you add middle office and front office, I mean, can you give us some perspective of how meaningful that kind of a win is?
Ron O'Hanley: Yeah. It is a large client. But we certainly -- we are not the only servicer of them. So I would think about the services there in a few buckets. Firstly, some back office, which actually transitioned over before we even announced the win -- additional back office. Secondly, is front office in terms of Charles River, which will be the core operating platform for them. And then, thirdly, middle office, as you noted. So it’s really across the Board. And again, this is us partnering with them to help them achieve what they are trying to in terms of their technology and operation stack, because we do have a longstanding relationship with them. They have also partnered with us in terms of developing, helping us develop new features and functionality into the Alpha platform that will be extendable to other clients in the future.
Vivek Juneja: And I guess the middle office would probably come a little bit longer time to get installs as it normally does?
Ron O'Hanley: Right. Right.
Vivek Juneja: Okay. Thank you, both.
Ron O'Hanley: Thanks.
Operator: There are no other questions at this time. I will now turn the call back over to Ron for closing remarks.
Ron O'Hanley: Thank you, Operator, and thanks to all of you on the call for joining us.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.